Operator: Hello, and welcome to the Twin Disc, Inc. Fiscal First Quarter 2026 Conference Call. We will begin with introductory remarks from Jeff Knutson, Twin Disc's CFO.
Jeffrey Knutson: Good morning, and thank you for joining us today to discuss our fiscal 2026 first quarter results. On the call with me today is John Batten, Twin Disc's CEO. I would like to remind everyone that certain statements made during this conference call, especially statements expressing hopes, beliefs, expectations or predictions for the future are forward-looking statements. It is important to remember that the company's actual results could differ materially from those projected in such forward-looking statements. Information concerning factors that could cause actual results to differ materially from those in the forward-looking statements are contained in the company's annual report on Form 10-K, copies of which may be obtained by contacting either the company or the SEC. Any forward-looking statements that are made during this call are based on assumptions as of today, and the company undertakes no obligation to publicly update or revise these statements to reflect subsequent events or new information. During today's call, management will also discuss certain non-GAAP financial measures. For a definition of non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial results, please see the earnings release issued earlier today. Now I'll turn the call over to John.
John Batten: Good morning, everyone, and welcome to our fiscal 2026 first quarter conference call. We begin the year with strong momentum, delivering another quarter of profitable growth and meaningful progress on our strategic priorities. Sales and margins improved year-over-year, supported by steady execution across our global operations with healthy demand across all 3 core product groups, contributing to our robust backlog. Our performance this quarter underscores the strength of our diversified portfolio and the operational discipline that continues to define our success. As we move through fiscal 2026, we are encouraged by the resilience of our end markets and by the growing contribution from areas such as defense and hybrid propulsion. These growth vectors position us well to sustain outperformance and deliver strong profitability amid an evolving macroeconomic environment. That said, we remain mindful of potential tariff developments and expect a 1% to 3% tariff impact on second quarter cost of sales versus roughly 1% previously. This increase is temporary and will not affect the remainder of the year. And as such, we expect tariff impact to return to roughly 1% of cost of sales in the second half of the fiscal year. Now let me take you through the quarter's highlights. Sales grew 9.7% year-over-year to $80 million, marking another quarter of steady top line growth led by our marine and propulsion business, along with the integration of Katsa and Kobelt, which continues to advance ahead of plan and together are broadening our capabilities and expanding global reach while driving meaningful synergies. On an organic basis, net sales increased 1.1%, which excludes the impacts of acquisitions and foreign currency exchange. We continued to streamline operations in the quarter, efforts that effectively help us deliver 220 basis points of gross margin expansion year-over-year as gross margins increased to 28.7% for the quarter. EBITDA margins remained strong despite the impacts of nonoperating and noncash items such as defined benefit pension amortization, stock-based compensation and currency translation loss in addition to costs from recent acquisitions. We also delivered a robust 6-month backlog of $163.3 million, driven by sustained demand across our end markets, illustrating a strong start to fiscal 2026. Defense momentum remains exceptionally strong. Orders continued to accelerate during the quarter, and defense-related projects continue to represent a growing share of total backlog, increasing by $4 million sequentially and up 45% year-over-year, comprising 15% of total backlog. In the U.S. and Europe, we are actively supporting multiyear government initiatives to modernize both marine and land-based platforms, while our recent acquisition of Katsa continues to generate strong demand in Europe. Our work includes contracts tied to NATO vehicle programs and U.S. Navy patrol vessels, where we're serving as a trusted propulsion and systems partner. With a defense-related pipeline that continues to expand, we see significant runway ahead, supported by elevated government budgets and increased focus on marine and hybrid applications. Now let me walk you through product group performance. Our marine and propulsion business continues to perform exceptionally well, and sales increased 14.6% year-over-year to $48.2 million, driven by work boat activity, government programs and demand for Veth Elite thrusters. Record new unit bookings, combined with the growing demand for hybrid and autonomous vessel solutions continue to underscore the strength of our products and market position. In September alone, we booked $20 million in new unit orders, surpassing previous records. Orders supporting the unmanned U.S. Navy platforms class continue to build, and we are excited about our entry into the new class of autonomous patrol vessels, extending our presence on higher-value platforms. In addition, we are seeing traction with the U.S. vector thruster market with backlogs increasing across workboat and cruise applications. Lastly, aftermarket remains resilient with steady utilization of military and commercial fleets were flat when compared to a year ago. Within land-based transmission, sales were stable, up 1.6% year-over-year to $17.6 million. Oil and gas shipments were nearly flat as China continued to decline. North American customers also remain cautious with a focus on rebuilds and refurbishments. However, we are seeing an emerging tailwind as the rebuild cycle matures and replacement demand begins to materialize. ARFF demand remains strong, and we continue to advance next-generation e-frac solutions, securing an initial order during the quarter, representing 14 units totaling $2.3 million. Overall, we continue to remain well-positioned to capture emerging opportunities as activity improves. Our industrial business grew 13.2% year-over-year with growth supported by acquisitions and broad-based customer activity. Steady demand for higher content solutions is reinforcing our mix and helping sustain momentum as we extend Katsa's engineering and parts capability across the portfolio. Our backlog of $163.3 million, up 13% year-over-year and 9% sequentially, provides solid visibility for the balance of fiscal 2026. Inventory is up slightly because of our strong demand and pre-buys. As we look at the remainder of the year, we remain focused on further optimizing inventory levels with delivery schedules as we convert our backlog and maintain flexibility across our manufacturing footprint to support demand while protecting margins. As we look to the balance of the year and beyond, I want to reaffirm our strategy centered on global footprint optimization, operational excellence and disciplined capital allocation. Our near-term priority remains reducing debt and strengthening our balance sheet while continuing to invest in targeted organic initiatives that enhance productivity and margin expansion. We have made great progress streamlining our business into more agile and globally integrated operating model, one that breaks down silos, drives collaboration across our end business units and going to market as one consolidated company, which leverages our scale and shows the power of our consolidated platform. This starts with the business units and their leadership, which is now reporting through Tim Batten, our Executive Vice President. These efforts are improving execution speed, driving margin improvement and laying the foundation for sustainable growth. With these ongoing efficiency and integration initiatives, Twin Disc is well-positioned to deliver strong results through the remainder of the year and to achieve our long-term targets, driving sustained profitability and lasting value for our shareholders. With that, I'll now turn the call over to Jeff to discuss our financial results in greater detail.
Jeffrey Knutson: Thanks, John. Good morning, everyone. During the quarter, we delivered $80 million in sales, up 9.7% from $73 million in the prior year period. which was primarily driven by strength in the marine and industrial product groups and supported by the addition of Kobelt. On an organic basis, adjusted for M&A and FX, revenue increased approximately 1.1% in the first quarter. First quarter gross profit rose 18.7% to $22.9 million and gross margin increased 220 basis points to 28.7%, reflecting the benefit of incremental volume and successful margin improvement initiatives in addition to improved mix in the marine propulsion product groups, specifically within Vet products. ME&A expenses were $20.7 million in the first quarter compared to $19.5 million last year. The increase reflects the addition of Kobelt as well as ongoing wage and professional services inflation. We continue to focus on cost discipline and operational efficiencies to support long-term margin expansion. Net loss attributable to Twin Disc for the quarter was $518,000 or $0.04 per diluted share compared to a loss of $2.8 million or $0.20 last year. The year-over-year improvement reflects higher operating income and lower expenses, driven by reduced currency losses, partially offset by higher pension-related amortization. EBITDA was $4.7 million for the first quarter, representing a 172% increase versus the prior year as expanded sales and profitability together drove strong results. From a geographic standpoint, sales growth was driven primarily by North America, where continued demand for Veth products and contributions from our recent acquisitions supported a higher share of quarterly revenue. The overall mix shifted toward North America, while Asia-Pacific and the Middle East accounted for a smaller portion of total sales, reflecting the impact of order and shipment timing of our customers. Net debt increased slightly in the first quarter, primarily reflecting seasonal usage of our revolver. We ended the quarter with a cash balance of $14.2 million, down 14.8% from the prior year. As expected, cash flows during Q1 are seasonally lower due to net working capital dynamics and slightly elevated inventory levels, as John described, heading into the year to satisfy robust demand. We continue to maintain a conservative net leverage ratio of 1.3x. Our strong financial position provides flexibility to navigate the current macroeconomic environment with discipline while continuing to evaluate targeted bolt-on acquisitions that align with our innovation strategy and broaden our product portfolio. As noted earlier, gross margin expanded by roughly 220 basis points year-over-year to 28.7% in the first quarter, reflecting the ongoing benefits of our cost reduction initiatives, improved operational execution and higher sales volumes. We continue to build on this momentum by sharpening our cost discipline and pursuing margin-accretive growth opportunities across our portfolio. Enhancing profitability remains central to our strategic priorities. Our capital allocation strategy remains focused on balancing growth investments with disciplined financial management. We maintain a focus on prudent capital deployment, pursuing targeted M&A that strengthens our marine and industrial technology platforms alongside organic investments in R&D, geographic expansion and hybrid and electrification innovation. Supported by a healthy balance sheet and clear strategic priorities, we're positioned to deliver sustainable growth and long-term value creation. I'll now turn the call back to John for his closing remarks.
John Batten: Thanks, Jeff. In closing, I'm encouraged by the strong start to fiscal 2026 and the consistent execution across our global organization. Our teams continue to demonstrate focus, adaptability and discipline in navigating complex market conditions while delivering measurable progress on our strategic priorities. With a robust backlog, a solid balance sheet and a clear road map toward our long-term objectives, Twin Disc is well-positioned to drive profitable growth and strengthen its leadership across core and emerging markets. I remain confident in our ability to sustain this momentum and deliver lasting value for our customers, employees and shareholders. These conclude our prepared remarks, and we're now prepared to take questions.
Operator: [Operator Instructions] We will take our first question from David MacGregor from Longbow Research.
David S. MacGregor: Congratulations on the results, strong quarter. Let's start off with military just because you really called that out, and I appreciate the detail behind the strength and kind of how that is evolving. Can you just help us with the timing of shipment acceleration here as well as the expected margin impact?
John Batten: Yes. It's John, David. I'll start with just the expected shipment. I would say in Finland for the NATO vehicles; it's really very much early in the beginning. I would expect that business for us, let's just say that we're in the 150-unit range right now that in a year from now, that will be double and then it will continue to grow from there. And then in the U.S., primarily the one that's driving it are the autonomous vessels. And I think whatever volume we have this year, again, will be double in '27. So, it's -- and continuing from there. So, I don't want to say it's the 2 main programs are going to be doubling every year, but that's kind of the pace that we're on is that we can expect high, I would say, on average, at least for the next couple of years, 50% growth in each program.
David S. MacGregor: And do you have sort of the capacity to support that kind of a ramp right now? Or would that require a pickup in incremental CapEx spending?
John Batten: It would -- let's just say it reevaluate our CapEx spend -- excuse me, CapEx spending. We certainly have the capability here in the U.S. to meet the demand for the U.S. Navy, shuffling some stuff around. And we're working on the plans. We certainly -- I would say we have -- and in Europe, we're probably good with everything the way it is for the next 18 to 24 months. But yes, we're looking at what we do in the facilities in Europe so that we can capture that demand and maybe do some of that volume in one of our other facilities in Europe and not just all in Finland. But the answer is yes. And the CapEx, it's more focusing on test stands and assembly fixtures. So thankfully, it's not necessarily machining capabilities, longer lead time pieces of equipment. It's more on assembly and test fixtures.
David S. MacGregor: Well, that's all very encouraging. Let me turn to the oil and gas business. I know you're less dependent on oil and gas now than you've been in the past. But can you just talk about what you may be seeing in the way of changes in business conditions and order activity? And given what you've been working on in the way of costs and productivity and pricing, do you need a volume recovery in '26 in order to see year-over-year upside and profitability?
John Batten: So, the answer is no, but it would make it a lot nicer. It's a very good part of the business. But thankfully, David, it goes back to the last, I would say, major downturn for us in oil and gas kind of coming off the 2018, 2019 high going into COVID that it was a conscious decision to accelerate our move away -- not to diversify away from oil and gas. It's still a very good business. I think China -- the tariffs just happened, I think, to coincide with, again, China tends to, at times, overbuild and they have to absorb the volume that they have. And I think there was a slowdown. They didn't need as much equipment and most of the equipment comes from the U.S. So, it was also a double reason for them to slow down on purchases. We see that demand, I can see the ray of right there where that demand is going to start to come back. And then the rebuild activity in the U.S. has been still pretty good. It was down in '25. So, I don't think it's going to be hard to surpass that in '26. And as we mentioned, we've got the e-frac orders coming online. I don't think those are the first couple of spreads. I think that will take us through this year. But I imagine sometime during this fiscal year, we'll get follow-on orders for '27. And I'm cautiously optimistic on some natural gas opportunity. But the macro, David, the macro levels -- and again, I would say most of our units that go out in the U.S. and North America are heavily weighted towards gas, whether it's wet gas or dry gas. And the demand for gas, I mean, everything you read about data centers and what's going to power them, natural gas plants are one of the most likely options. I still think we're years away from nuclear being deployed. And I just don't think renewables can keep up with the concentrated demand of what you need near the AI data centers, so AI data centers. So, I'm pretty optimistic on the macro level, and I think we're well-positioned to capture growing demand.
David S. MacGregor: Interesting. I wanted to ask you about land-based transmissions because the double-digit growth in marine and propulsion and industrial, but relatively flat in the land-based transmissions. Can you just talk about the puts and takes within that business that led to the relatively flat top line?
John Batten: Yes. I would say it's -- again, it's steady. I would say it's fairly steady. In ARFF, the demand, we're full. Our customers are kind of at their capacity. That's been full year-over-year. And really, the puts and takes have been small projects with different outside of ARFF, some are falling in like railway maintenance things. We're folding in some of the products at Katsa, fall into the transmission business. And oil and gas has been -- I would say some of the -- like we've traded some unit volume in China for unit volume in North America. So, Jeff, I don't know if you have any more.
Jeffrey Knutson: Yes. No, I think that's right, David. Oil and gas in general was down a couple of percent from last year's Q1. And then there's just timing of our shipments. It's a steady demand that we have for several months and even years in front of us, but there's some shift between quarters depending on the customer schedule, et cetera. So yes, pretty steady demand, I would say.
David S. MacGregor: I want to ask about gross margins. We normally see kind of seasonal pressures with European shutdowns. And can you bridge the first quarter gross margins of 28.7%, you were up 220 basis points, I think. Maybe separate seasonal versus kind of the incremental volume versus the margin improvement initiatives that you referenced, Jeff? And also, I guess the investments were a factor and maybe the mix of businesses as well, I guess, because you talked about the strength in call. So just help me kind of proportion-wise, how I should think about those various factors.
Jeffrey Knutson: Yes. So, I think the good news for us, and we've talked about this on previous calls that the Veth business wasn't delivering the kind of margin that we were expecting. And there were some definite drags on the margin coming out of that. The thruster business, right? So, coming out of COVID, they were carrying a backlog that had pretty low margins in it, very competitive project bidding during COVID, where there wasn't a lot of activity. And we worked through that over the course of the few years coming out of COVID and really focused them on driving profitability, operational discipline, et cetera, pricing. And so, they delivered their best margin quarter since we've acquired them. So, it was really 2 things. It was the incremental volume at kind of our normal incremental drop-through. So, we look at around 40% drop-through on incremental volume on a global basis. And then incremental to that, driving the -- probably about another $1.2 million of favorable margin was Veth delivering better margin results than they had in prior years.
John Batten: Yes, David, I'll just add a little bit of color on Veth too, is one of the things coming out of COVID and the Russia-Ukraine war was our supplier of permanent magnet motors for L drives. Our supplier had almost all of their supply base for raw material in Ukraine or Russia. And what they couldn't get from Russia was destroyed in Ukraine. So, we had some pretty heavy surcharges and cost increases as they were just scrambling to get us motors that unfortunately, we had contract pricing and couldn't pass that on. The Veth team has worked tirelessly for almost 2 years to develop different suppliers. And so, we're starting to see those suppliers come online and go back to the pricing when we were quoting these projects. So, they've done a great job on lean principles and finding new suppliers. So yes, if there's one entity that drove the improvement, it's really going to be Veth then everybody else is just working on their constant continuous improvement projects. And it all came together. It was a very nice bump in the first quarter, which is typically a very hard one for us just on shutdowns and available days of shipping.
David S. MacGregor: And so how much of that 220 basis points do you think is sustainable going forward, John?
John Batten: Yes. I mean if we can -- it's same mix, I think we can do that on a trend line. And as I mentioned in the call, one of the tough things that we're dealing with in this quarter, and thankfully, we've gotten some relief is our first shipments in the Trump 232 tariffs of 50%. We got in containers of marine transmissions from Europe and from Japan, and those were tariffed at 50% after feverish activity and explaining to Department of Commerce and anybody else and our codes, thankfully, those have come down to 15%. So, we're going to have to deal with that like in the second -- that happened in the first month of the second quarter. But I think once we can get through the initial negotiation of tariffs with customers, I think the trend line, I think we can sustain that. I think the second quarter right now, given the massive jump in tariffs that were impacted, passing it on. I'd be happy to maintain that in the second quarter for sure. But the trend line going forward, the team and the mix and what they've done, it's all very positive. And our flexibility of being able to move product and assemble and test in different regions is definitely a competitive advantage for us.
David S. MacGregor: Very encouraging. Last question for me is really on free cash flow for this year. And you talked about your plans for inventory, and you made a couple of comments around CapEx. But how are you thinking about kind of conversion, either EBITDA conversion or net income conversion, however you want to look at it?
Jeffrey Knutson: Sorry, I'll answer the question I think you're asking, David, and maybe you can clarify. So, I think the way we look at profitability as we drive growth is delivering our sort of benchmark is 40%, like I said. We expect as volume grows; we're delivering 40%. Right now, we're tracking -- our target is to get double-digit EBITDA. So, say, 11% EBITDA would be, I think, a target for us this year, some improvement from where we've been. But as we grow, I think what we have in our minds is to get to that 15% EBITDA margin level. And that's going to take additional volume and additional margin improvements as we delivered this quarter. So, I think we're on a good trend to get to some of those targets.
David S. MacGregor: Right. And so, can you help us at all in terms of the free cash flow model for this year in terms of what that might ultimately look like?
Jeffrey Knutson: Yes. So free cash flow is -- yes, certainly, it was a difficult Q1 for a variety of reasons. We have a typical step back in Q1 with some payouts that naturally follow our Q4. We had some inventory growth with the demand, the increase in backlog, maybe some prebuys with the anticipation of tariffs. So difficult Q1, but we still -- we're targeting 60% free cash flow as a percent of EBITDA. That's our target. That's our goal. I think that's still deliverable. We would hope to get close to breakeven and recover that Q1 in Q2. So, we're focused on managing that incoming inventory in light of the growing demand. I think what we don't want to do is in any way, hamper our ability to grow and disappoint customers, let's say, as we're delivering this volume growth we have in front of us. So yes, that was sort of the drag on Q1.
Operator: [Operator Instructions] We have not received any questions from the audience. I'll be turning the call back over to our CEO, John Batten, for closing remarks.
John Batten: Thanks, Justin. And thank you for your continued interest in Twin Disc. If you have any follow-on questions, please contact either Jeff or myself, and we look forward to speaking with you in February after our second quarter call. Justin, I'll turn it back to you.
Operator: Thank you.